Unidentified Company Representative: Thank you very much for waiting, ladies and gentlemen. Now we would like to start the SoftBank Group Corp. Earnings Results Announcement for the Fiscal Year Ended March 31, 2017. First of all, I would like to introduce today’s participants. On the front row, from left, we have Masayoshi Son, Chairman and CEO; Ken Miyauchi, President and COO; Yoshimitsu Goto, Executive Corporate Officer. At the back from left, we have Kazuhiko Fujihara, Executive Corporate Officer; and Kazuko Kimiwada, Corporate Officer. This meeting is live broadcast over the Internet and can be heard by telephone. Now I would like to invite Mr. Son, Chairman and CEO to present you the earnings results and business overview. Mr. Son, please?
Masayoshi Son: My name is Son. Thank you very much for coming today. Just about 10 years ago, SoftBank was making a lot of negative numbers, and we just launched Yahoo! BB, and that was a time -- now that we may be able to -- we might be able to start making a profit but that time we are all negative. And that time, at the shareholders meeting, we have received a lot of questions from shareholders; what’s happening next? So, where SoftBank is going? That kind of question came in. And I said we will grow. We would grow. We will improve. That’s something that I answer. And that time I said, you may hear this, you might hear this as a kind of a big dream and maybe you need to discount 100%. That was my -- the assumptions that I said. Someday, in profit, we would like to record ¥1 trillion or ¥2 trillion; so we would like to count our profitability in trillion level. That’s something that I said. So I said, I’m a big dreamer. And that was a big dream. That was a kind of a thing that I mentioned to the shareholders. And actually, in both operating income and the EBITDA that we are exceeding ¥1 trillion, finally, so that’s something that I wanted to announce to you, first of all. At the same time, actually, I just have received a question, how you feel about the profitability of the ¥1 trillion? So, I kind of asked myself how do I think about this? Actually, I didn’t have any special feeling. Actually, it’s strange that I didn’t feel any special feeling. ¥1 trillion profit, I didn’t really have anything in my heart. Why? I just thought about that and because I don’t feel kind of achievement with this ¥1 trillion. It is just a point to go through. That’s why I don’t really feel the achievement yet. That’s how I just thought about this result this time. This is just a number, and a number is a number. But even more importantly, what we are aiming for, where we are going to and how big are we going to grow, that’s the kind of more important things for me. So once again, just about two years ago, I would like to kind of recap what I said in two years ago. So SoftBank, I said, it’s the goose that lays the golden eggs or not. That was the kind of the discussion that I did at the earnings results announcement two years ago. And today, after two years since then, how we position right now, that’s something that I would like to share with you, how we are doing with this. So consolidated results here, net sales adjusted EBITDA, EBIT and net income, or as you can see, that these are the numbers I’m now going to one by one. In net sales, 0.2% increase, and as you can see, the breakdown of those. If you see in the dollar base, 11% increase. The reason is because Sprint and the dollar base that they are growing, but because of impact of stronger yen, it looks a little bit decreased. So Sprint, probably, we should see in dollar base. For the Domestic Telecom, we should see in yen base. So we are kind of in the mixture of those two. That’s the kind of a real strength of ours. In adjusted EBITDA, this is 1% up. As you can see, it is making a steady growth and keep growing, again, the dollar base breakdown of the adjusted EBITDA. And as you see, the dollar base actually increased by 23%. As you can see, the driver for the growth is actually now Sprint. Many of you have thought Sprint is actually dragging our growth. Actually, it’s becoming the bottleneck for the SoftBank. That’s the kind of image you may have. But by a year ago, I started saying that Sprint is now becoming turning around. It is showing the sign now that we will be seeing Sprint as a growth engine. That’s something that I actually pre-inform you about a year ago, and now you see the actual result from there. And EBIT, 13% increase, and the breakdown, here it is. As you can see, it’s even more clear. The biggest driver for the EBIT is now Sprint. The yellow portion, Sprint, is growing. That’s even more clearer when you see the breakdown of EBIT. And if you put it in dollar base, 27% increase. So actually, you see the even more impact or contribution to the EBITDA by Sprint. So either you see in a yen base or dollar base, like I said earlier, Sprint, I think we should see in dollar base. And for Domestic Telecom, we should see in Japanese yen base. So I think the real capabilities of ours are actually in the middle of those. And I mentioned about ¥1 trillion. About two years ago, SoftBank -- maybe it was three years ago, on the number wise, actually, we achieved ¥1 trillion once. But back then, that was a time we had a reevaluation and the onetime gain of ¥250 billion from the GungHo. And if we -- probably, we do need to exclude GungHo and Supercell from there. So it was not the real power, real capability of ours, but also, it was important. Once we achieve, then it can be a good track record. So once that you achieve the one place, then you’d be able to come back to that once again. So that it was a kind of a onetime gain for the ¥1 trillion achievement, but at this time it’s a real capability. So next year -- in the past few years that we haven’t shown the guideline or the guidance for the business performance for the next fiscal year, but in EBIT, next year, I am quite confident that we are going to exceed ¥1 trillion. And actually, we will be able to increase the number from this year because Domestic Telecom is making steady growth, and on top of that, Sprint is making a good growth, and actually it’s becoming a growth engine. So from that, we believe we will be able to exceed ¥1 trillion at this year’s result for next fiscal year, for sure. So when you look at Japanese operating companies, those companies who exceeded or achieved ¥1 trillion in EBIT was only three companies, including ourselves. So NTT Group and Twitter was the only company that achieved ¥1 trillion. And actually, NTT spent about 118 years to achieve a ¥1 trillion EBIT. They were originally the 100% state run company, and they were kind of exclusive over 100 years or so in the business. And Toyota was a second company to achieve ¥1 trillion EBIT, and we are the third company. And actually, we spent a shorter number of years to achieve this. And in net income, this is first time to exceed ¥1 trillion. Here, of course, we do include the onetime gain. So whether we have achieved ¥1 trillion, this is not real capability. But you can kind of consider this as a kind of a discount basis. But actually, in EBIT, we are steadily -- we are to steadily achieve and we have a confidence to be able to achieve ¥1 trillion EBIT, meaning, that we would be able to go the same direction in the net income as well. So this is not only the onetime hit, and we believe this is going to be our kind of our own strength. And in operating company who achieved the ¥1 trillion net income, it was only Toyota, so far, in Japanese companies. So we are the second company as operating company in Japan. And still, some people say SoftBank is too much debt, our financial position is not good. So when it comes to debt or financial status, maybe we should put in this way you. The Domestic Telecom, based on Domestic Telecom, based on that success that we decided to acquire Sprint, and we have raised the debt to acquire Sprint. So including that acquisition financing, we have interest, net interest-bearing debt of ¥3.6 trillion, and EBITDA is ¥1.2, so the multiple is about 3 times. In other businesses, well, those are our holdings, and the market cap is about ¥18 trillion. And for that, ¥4.4 trillion for net interest-bearing debt. So asset that we have, the 25% of the total asset borrowings there, which is a very healthy line, that I can say. And 3 times leverage ratio, how do you look at that? When you compare with the major mobile operators in Europe and United States, so these are the debt-to-EBITDA ratio, and 3 times is not the abnormal number or anything. It’s about the medium compared to the other peers. And for me, zero debt may be seen as a healthy thing. But for the company who is still keep growing, may not be utilizing its own capability fully. So that’s how I feel. So that’s why, still, like I said, that the major mobile operators in Europe and U.S, compared with those peers, that we are in the medium. Moving on to Domestic Telecom business. So this is doing very well, and that is why we have been able to source ourselves in acquiring Sprint. So how are we trending at this point? EBIT, at this point, is almost ¥720 billion, and we are growing steadily. We are able to stably run this business, and so the EBIT grew by 5%. And the EBITDA margin to sales, how is that going? It is 55%, and so it really tells you that we are steadily becoming stronger in running this business because we’re able to generate more margin now. If we compare ourselves to some of the major players, we can say that we are global number one. Usually, network and infrastructure business, you look at larger market share companies, and these are the ones who usually have higher margin. However, in our case, maybe size-wise we’re not number one in Japan. However, in terms of margin, we are number one in the world. That’s something I would clearly like to mention here. The cumulative subscribers at the moment, little by little, yes, but still stably, we are able to grow the number. And at the same time, we have Yahoo! BB, and we have ADSL broadband and starting this communication telecom business, but now we’re going into optic fiber. That’s our main focus now. Compared to 12 months ago, the subscribers, households have doubled. And so now we are steadily generating profit. And so, again, Domestic Telecom business, looking into free cash flow we have been able to improve ourselves by 40% year-on-year, and this is after CapEx and after tax. And when you look into financial accounting, of course, there are many ways to measure how you are doing. For instance, you’d be able to look into domestic or overseas GAAP. You’d be able to look into various metrics. It could be EBIT. It could be other profit. But then, it’s really about how you look at it. But the fact is, this free cash flow, how much free cash flow do you have shows the fact. After all tax, after all CapEx, how much free cash do you have, free cash flow? We have been able to increase it up to ¥561 billion size. We initially had been saying that our target is going to be ¥500 billion, but in less than a year, we revised our targets upwards. But we’re now able to exceed even that revised target and so we are very happy. So again, the ratio of free cash flow towards revenue, again, here, we are number one globally, 23%. This tells that we are top company in the world in generating free cash out of the revenue. In other words, compared to other mobile players, other peers, we are most efficient in generating free cash flow out of the revenue. And so again, for the 13th consecutive time, we have been able to grow our revenue and profit. And even in this year, we’re able to generate the same level of free cash flow in a very steady and healthy manner and a very stable manner as well. And we’re also aiming to expand more synergies with Yahoo! Japan for the domestic side. Next I’d like to move on to Sprint. I said earlier that Sprint is no longer our burden. It is going to be a growth driver. It’s going to be a growth engine for SoftBank Group from here. Again, net additions, we have been able to more than double vis-a-vis last year, and the churn rate has become best in Sprint history now. The revenue had gone down a bit at one point of time, but we have been able to improve ourselves. And the cost, we have been able to do better here. In other words, we have been able to do $3.4 billion amount reduction in two years, so that would be like ¥380 billion amount. So compared to two years ago, the annual -- or this is, I guess, a different way to look at this, but again, the total would be ¥380 billion. And in terms of fixed cost, I’m sure there are various ways to look at it. But then again, the annual fixed cost, we have been able to reduce it by several hundred billion yen compared to just a couple of years ago. And so, therefore, we have been able to double our EBITDA in four years. So it’s almost ¥1 trillion. And so we have been able to come to an EBITDA level very close to what we’re doing in Japan. Operating income, therefore, vis-a-vis last year, we have been able to grow it by six times; and so you can find that we are actually generating operating income, so that will be approximately ¥200 billion amount of operating income. It is positive by ¥200 billion. Adjusted free cash flow has also turned around to become positive. And there was one point of time when Sprint was having a lot of debt, and there were lots of rumors who would say market was also concerned that Sprint may not be able to pay all its debts. And looking into next year, at this point, we’re even thinking we may have too much cash. About a month ago, I have been speaking with CFO of Sprint. What are you doing? You’re having too much cash. Look at the interest rate. The interest rate is going to cost us. Sure, try to go steadily, safely is good, but interest rate is going to be a cost. In other words, we currently are really almost cash-heavy. And so the amount of bonds of Sprint, the rate itself has gone down in the market. And of course, a lot of people, we oftentimes discuss about why not buy it back now, so that’s finance part. But the business itself, the important thing is network. And network, right after the acquisition of Sprint, Sprint network was terrible. Network was really poor, and it was not connecting at all. But now, finally, nationwide in United States, amongst all, voice performance became number 2 by the survey of the third party. And on top of that, even made me happy, was that we became number 1 in the metro areas. And this, we will be able to improve region-by-region, market-by-market. So voice, first of all, is becoming better and better. And now it’s data, LTE connectivity is also another key. And we have a rich spectrum, and also, we have innovative tools. So first of all, spectrum. We have a fluent 2.5 gigahertz compared to any other operators in the world. Of this, in the advance country, we have the most 2.5 gigahertz, and that is going to be the good, big weapon for Sprint. So far, 2.5 gigahertz is a high spectrum, so that it’s not really come into the indoors or come into the building, so that was regarded as an issue. But with this high power UE, the new standard has been proposed by us. And now, that has been accepted by the industry, so we have also encouraged China Mobile, Apple, Qualcomm, Samsung, Huawei. So with those companies that we would like to set this up as kind of a new standard for the industry in utilizing 2.5 gigahertz TD-LTE that we will be able to have more powers from the end-user handsets. So that was a new industry standard. As a result, the distance or the reach from the base station has been expanded. So with 2.5 gigahertz, actually compared with 1.9 gigahertz, which is mid-band that actually showed the same coverage as 1.9 gigahertz. So 99% of the 1.9 gigahertz of the coverage, it can be also covered by 2.5 gigahertz. Speed and performance, everything is going to be improved with that. And on top of that, we have created so many variety of innovative tools. I myself, as the Chief Network Officer of Sprint, I’ve been involved heavily in the development of these tools, and we came up with the new weapon of Sprint, unique weapon, and that is going to be used for the small cell of Sprint. And that, when we come into 5G, fifth-generation network, that this is a kind of the preparations for that. So the biggest 5G is going to be needed to deploy in small cells because 5G is the high-band network. So it’s not something that you would be able to do with a big tower to make the coverage. So with a small cell and make the big -- lots of places and rollout nationwide is going to be the key. And we are most advanced in terms of -- and we’ve been starting the initiatives in Sprint. And one of the tool is called Magic Box that we have invented. This is going to be also very much useful for 5G. So this is going to be installed in the many places, inside of the building and also the outside as well, so not only for the indoor coverage but also that coverage to the outside as well, so that is going to be the kind of a good preparations for the -- good ground for the 5G advance as well. So that has been already -- had a trial in metro areas and suburban areas. And as a first trial, we have chosen six market to set up the Mini Macro, Magic Box and so on. And this is a kind of a result from those six trials in markets, New York, San Francisco, Chicago, Denver and Indianapolis and Houston. And those six areas, and actually, five out of six markets, we have already achieved number one position. For example, New York, in distance area that we have experienced, and as a result, speed of download or the overall performance we hit the number one. San Francisco was also the same. Chicago, also the same, number one. Denver, number one. So we have been making real performance to make Sprint number one, so that is going to be rolled out to the nationwide of the United States. So that we have prepared is now ready and available for the market, commercial market. So I am so confident to be able to make that further success. And actually, we just announced today that this is the first time in the world that 5G was actually being told -- or people say that it’s 2020, but we will be the first and the fastest to be able to address 5G in 2019. So actually, it was a 39 -- those are midi wave. High band is going to be used for the 5G. But actually, the best and the good for indoor, which is 2.5 gigahertz, with high-power UE, we’ll be utilizing 2.5 gigahertz to address network -- communication network and enhance it for 5G, and that’s to be prepared, which we agreed to initiate that with Qualcomm today. And that’s going to be a very big milestone for us. Sprint is going to be the most advanced network, and the most advanced 5G network is going to be created. So number one network is going to be coming real by Sprint to aim for the number one position in United States. And that will make Sprint even more exciting for me. And recently, Sprint also announced the earnings results. And I myself was also joined the conference call and talked about the network area, like I just mentioned. And at the very end of the call, there were so many questions and I was ready. But because the operator disconnected by mistake and right before I start to talk something, then it was -- the call was disconnected and the call ended before I rejoined. And there are things that I couldn’t say, so that I would like to talk about that for this opportunity and I would like to make some comments about that. The question that I was asked during that call was about Sprint, about the industry consolidation. There are so many talks and speculations in the United States. And there is new administration and there was a question about how SoftBank think about Sprint. And that was a question for me, but because time was up, so that I couldn’t answer. But what I prepared to say was that with this new administration, compared to the previous administration, consolidation, industry consolidation may be even more open minded and that they are ready to listen with open mind. That’s how I hear so far. In previous administration, the door was completely closed. They don’t have a ear to listen at all, so they were quite tough on business actually. So that was the United States in the previous administration. I was not happy and not very much motivated that moment, but with the new administration, not the regulations to rule the business, but is going to be even more open for the business activities. And for the industry consolidation, I believe there will be more and more options available in the market. But up until the last month end, there was a spectrum auction going on in United States. So that between the operators, we should not be making any discussion. That was strongly, strongly advised by the legal counsel, so that any of the operators were -- should not be talking each other, and we did not talk each other. But now that this is 600 megahertz spectrum auction completed. And now that there are -- we’re okay to start discussing with each other. And now we are entering this phase that allows the discussion between the operators. So from now on, I would like to explore a variety of possibilities regarding the industry consolidation going forward. That’s something that I wanted to say. How that will be is also up to the counterpart and also that’s going to be up to negotiation, so I cannot discuss any in detail at this moment. But at least, I believe that the door is open, and without any restriction that we would like to explore any possible options available. Next, Yahoo! going very steadily. Advertising revenue is growing steadily. Yahoo! Shopping, we’re finding growth here compared to the peers. The shopping platform, the number of merchants have become 10 times more compared to our peers. I said about e-Commerce [indiscernible] e-Commerce Revolution and within these four years, we have been able to increase the number of merchants by 25 times. And so you can find this vis-a-vis comparison of last year. Actually, Yahoo! Shopping is the strongest-growing e-shopping platform in Japan. And at this point, we are able to find even more momentum in growth. And next, ARM. I am very glad that we were able to obtain ARM now. And I was able to also announce about 5G. And I just said it, I commented about it earlier, and I have been able to say that we’re going to be able to go ahead of everyone in the world and that’s because we have been able to acquire ARM. And because we have been able to acquire ARM, the Qualcomm CEO is now able to speak to me directly. And if I want to meet Qualcomm CEO, I can speak with him anytime. This is because the technology partner, the best technology partner for Qualcomm happens to be ARM. ARM chip, it’s in 99% of smartphone. So 99% of smartphones, modems would contain ARM chips. And so again, Qualcomm sees ARM as the best technology partner, and that’s why we can speak with each other anytime. We not only do this communication business in Japan, but we also do this in the U.S. And so therefore, if you add that two markets together, we’re able to offer this type of communication service in the two largest markets in the world: Japan and the U.S. And this happens to be the two markets that would have lots of chips being used and you can find there’s a significance Qualcomm’s communication technology and the business operator. If you look at this from these two perspectives, we’re trying to put an alliance into these two approaches. And Qualcomm is now calling to us for more alliance and cooperation. Again, 2.5 gigahertz, Band 41, we’re now in the most advanced position in being able to offer 2.5 gigahertz. And so this strategic partnership, we’re able to go into the strategic partnership ahead of everyone else, and this is because we have ARM. And this ARM has been able to grow the revenue by 8% vis-à-vis last year. And ARM-based chips shipped is increasing by 17%. 100 billion amount of chips shipped was -- 100 billion was shipped around the world, and it took 26 years before ARM would be able to achieve that 100 billion. But it’s probably going to be the next four years when we’d be able to go to 200 billion cumulative base. It took 26 years to achieve the first 100 billion, but now we’re having this accelerate growth and it’s just going to be four years to achieve 200 billion. And so therefore, again, ARM, we need to look further ahead into the world of IoT. We need to accelerate more. Nothing has been achieved at this point. ARM is not that much of a CapEx -- capital expenditure. Most expenditure in ARM is about headcount, labor cost because it’s these talents that we need to invest in. It’s the talents that count in ARM, so that is why we’re going on the offensive and increasing the number of headcounts by 21%. ARM, we’re having more acceleration in business. ARM DynamIQ, we have our -- trying to redefine multicore, and this is something that I’d like to announce. So again, this new single cluster design with reduced latency, with optimal performance. So again, we’re able to redefine multicore. Now AI can be found anywhere. And to make sure we have AI adoption everywhere, ARM DynamIQ has been designed. And so there’s a 50 times more boost in performance, 10 times more quicker response. And so there is dedicated processor for AI, and that’s what ARM DynamIQ is doing. And we should able to see many more ARM DynamIQ and several billion units around from here on. The number of smartphones around the world, it pretty much has matured. And so some people would say because we have enough smartphones, maybe we may no longer see increase in ARMs shipments. But compared to smartphone shipments increase, look at the royalty revenue for ARM side. This is because ARM is able to offer a more high value adding type of chips every year. It’s more high function, and so therefore, more functions can be added. And that is why this royalty revenue is growing by 18% year-on-year. And we’re not just talking about terminals now, even data centers. It was very much dominated by Intel, but ARM is now really going into this space as well. Last day, Microsoft, I mentioned that it is also going to Microsoft PC terminal. But not only that, it was also going into Microsoft data centers. So Microsoft, we’re going to have ARM deployed in over half of Microsoft data servers. And in IoT, we have Amazon Echo, we have FitBit, iRobot; and so IoT is going to be prevalent everywhere. We’re going to see an explosive growth within the next two decades. We’re going to see a high number of ARM chips being deployed more than trillion level. And this speed is going to be accelerated from here. And so again, it’s not just about purchasing a terminal to sell, it’s not just about investing for a terminal to deploy. We’re trying to become -- we’re trying to 100% absorb the growth driver of the industry itself. Within the IT industry, within the Internet industry, ARM is very much a critical part in the growth. And now we have ARM, and so this goes back to the Qualcomm example. Qualcomm example is just one example of what we have been able to do. But I think there is this great significance in holding ARM. So up to here is the business performance, so like I mentioned, ¥ 1 trillion. ¥ 2 trillion is not something impressive for me anymore. It is just a milestone to go through. But as I just mentioned in the beginning, is SoftBank a goose that lays the golden egg? 2 years ago, when I say that, people was not really getting it. What I am talking ,what is he talking about? So the golden egg itself has a value, but that goose has value as well, that’s a kind of a question. So in the past 2 years, goose, what kind of performance this goose did is something that I would like to share with you. In the past 2 years, we increased the debt. Net interest-bearing debt increased by ¥ 2 trillion. It’s a kind of, SoftBank loves debt. That’s people told me. But as a result, it did increase by¥ 2 trillion. That’s a fact. But at the same time, as a result, so this is a kind of the food for goose. So goose actually ate a lot. But as a result of eating a lot, some of the parts that SoftBank has, those companies of SoftBank, the market cap of those, in 2 years ago, it was ¥ 18 trillion, but now that increased to ¥ 25 trillion, so increased by ¥ 7 trillion. So we spent¥ 2 trillion more food for goose, but as a result, we have ¥ 7 trillion increase in the asset of SoftBank. Wasn’t that a good thing? That was not a bad thing, wasn’t it? So that the asset that we have, the value of the asset increased. So if we less interest-bearing debt, which will give us the shareholders’ value, and that has increased to ¥ 17 trillion from ¥ 15 trillion -- ¥ 12 trillion, excuse me, so it increased by ¥ 5 trillion. So market cap is the kind of valuation from the market. So ¥ 9.5 trillion is the current valuations by the market, so ¥ 9 trillion. But the value of the golden egg, this debt gives you ¥ 17 trillion compared to 20, 2 years ago, actually, we increased by ¥ 5 trillion. It’s not only the one-way increase. There are ups and downs. But in the 5 to 10 years, actually, golden goose is increasing. Relatively speaking, it’s increasing. So you can count 1 egg, golden egg for ¥ 1 trillion. So 10 years ago, there were 0. It was not achieving ¥ 1 trillion. So 0 golden egg, after ups and downs, mainly increasing trend and now achieving 17 golden eggs. So SoftBank may be able to change the normal egg to golden egg by eating eating a lot. And that may change the egg, normal egg, to golden egg, for example, Alibaba, Yahoo!, Supercell, Vodafone, Sprint. Even Sprint, we spent our leverage and increased the equity value. So debt was actually the feeding cost, so that minimize equity size. And there, we improved the equity value, which shows in the IRR. So in annualized basis, it’s like 81% or 40%, something like that, that’s increasing. You may think that this is only the good examples. But if we make it all total, taking the debt out as an equity value, the cumulative investment was ¥1.5 billion, and that became ¥170 billion, so 50 times. So in IRR, increasing by 44% in annual basis with this size is the -- I may think that you may manage the fund or you may be the analyst, but average growth of 44% is not something that you can see all the time. I personally don’t buy and sell the SoftBank share in principle, other than SoftBank share, so I focus on SoftBank only. If I’m the individual investor or the institutional investor, I may be able to give you the best performance ever. But I’m not going to be played the small games like that. I just like to play the big game like this to move the trillion-yen level of the money, so that with a combined basis, we are increasing or growing 44%, no excuse. As a result, ¥17 trillion is the market cap of the assets that we hold, taking out the debt of the ¥8 trillion. And the goose here, so goose increasing the golden egg, like I showed. Actually, I believe that the goose has more value than golden eggs. I don’t know how do you think about this. But actually, I believe real value stays in the goose not in the golden eggs. So the goose that laying the golden egg every year is actually the most important and valuable. In the Aesop’s story, goose lays egg per day, and the greedy man wanted to have a golden egg and couldn’t wait for the egg per day. So the greedy man killed goose and opened up his belly and couldn’t get any golden egg at all. SoftBank, we always feed the goose. As I said, this is the debt. We increased the debt. But actually, the goose laid eggs instead, so that we don’t have to rush to decrease the debt. So -- and I wanted to remind you the story of the Aesop, so this is the past. So I can’t -- I just don’t need to talk about the past. Actually, it’s important to talk about the future. SoftBank is going to evolve even further. With the SoftBank Vision Fund, we were going to grow and evolve. Why we are setting up this fund? It’s because we have a vision. There is a motivation, we want to do something. And I just been using the word of golden egg, but after the Internet industry started like Amazon, Google, Facebook, so many heroes are coming out to the market. It’s like a gold rush -- golden rush and increasing the enterprise value here and there in the past 10 years. But me, I don’t believe that has end yet. Gold rush -- golden rush actually starts now. Up until now, it’s just about the preparation time because Internet that we’ve been using as a business model, data was created by human through the platform used for the advertising model or charging model. That was a Internet business model. And here that has Facebook, Google, Yahoo Japan and so on. But basically, the data was created by human and that goes through the platform to monetize. But going forward, it’s not the data only from people, but thing will create the data. So many of the things will be in the Internet and those things will create the data through the big data to artificial intelligence. And data is going to be the biggest asset. So as a bigger asset, super intelligence is going to be created. So the data, that 90% of the IoT, the things actually builded in with ARM based chipset and data will be created through the ARM based chip, and that goes to big data. So actually, we put all the four corners, and that’s something that we have done by the acquisition of ARM. So all the industry is going to be redefined. For example, transportation has been refined by Uber and Didi. And same applies to many industry, health care or the food, agriculture, productions. So many older industry is going to be redefined. So the real golden rush is now coming. Hundreds of times of data compared to the human made is going to be created and utilized by the AI. And I cannot wait for that. I cannot miss that opportunity. About year 2000, after the collapse of Internet bubble, I thought that, that was the time that we should go for it and then people called me crazy. So people said that they shouldn’t look at my eyes or something like that. But that time, we free bought. I think we have been able to get the best of return. But now I think we are entering into the real golden rush. If we had -- if we had money back then, that was different. But now that we are also entering into the real golden rush, so then we do need to prepare the money without increasing our debt, and Vision Fund is for that. SoftBank Vision Fund is the kind of a base in preparation for the real golden rush without increasing debt. So the goose is eating a lot. Debt is increasing and people worry about the goose. So without increasing debt, even feeding goose but still not increasing debt. But that changed the form to the fund and invite the partners and spent for the investment. As a result, goose is now even flying away not just walking around in the garden. Now it’s time to jump, it’s now time to fly. And now flying and become the gold goose. So we are flying away with the gold goose. I think I don’t believe that many company does this kind of story in the earnings result, but you cannot be too strict and you cannot think small. It is just a onetime life. And now that we are facing the onetime golden rush, so that’s why we should be kind of open up our mind, open up our heart and think big. That’s something that I would like to do. So that concludes my speech, which may not be suitable for the earnings result announcement, but I hope that you eat a lot of egg. Or every time you eat egg, please think about me. Thank you very much.
Unidentified Company Representative: Thank you very much. Now I would like to open the floor for questions. [Operator Instructions] If you have questions, please raise your hand.
Q - Unidentified Analyst: My name is Anokita [ph] from BS Japan. [ph] 10 years ago, you mentioned that the ¥1 trillion was a dream number, and now you’re achieving. But at the same time, you are not feeling special but as one individual, that was surprising remark. And a year ago, you decide to continue working as a CEO. Has that been changed for you? Was it kind of a time milestone?
Masayoshi Son: Well, singularity is coming, and now is the time that we are able to buy, acquire ARM. So I was so excited and I am excited because for ARM, I’ve been thinking and I was really wanted to buy ARM. And 10 years ago, if I were to able to buy it -- I was able to buy in ¥200 billion, but now that we are facing the real golden rush, I cannot really talk about retirement or anything like that. That is probably was too early for me, so I kind of thought that thinking about retirement was too early at that moment, so it’s not really number. And there are a lot of learning point because I have spent about 60 years so far, but nothing has been achieved yet for me, nothing that I can be proud of. So that’s something that I still have in my mind. And now is the time; from here my life will begun, so that’s something that I am feeling. So we are just -- this is just a one milestone, and now we are to start to begin, that’s something.
Unidentified Analyst: One more question, please. So share price of 10 years, the share price is now three times from the 10 years. How do you see the evaluation from the market of current share price?
Masayoshi Son: 10 years ago, we didn’t have enough capability, enough strength. But the people who are in the market actually gave us better valuation. So by the number of the golden egg-wise, there was zero. The asset value was less than ¥1 trillion, and debt was bigger. But still, market cap was about ¥3 trillion or so. But now we have power, we have capability. And actually, market evaluation is not catching up with our own strengths or real strengths. So like -- I think it’s the time of buy in -- also not only the golden egg, but actually, I believe there is a value of goose. So that -- but at the same time, I think I’m happy to be underestimated because you have a room to grow. Inside of yourself, if you have a room to grow, you are exciting -- you are excited. If you are overestimated, sometime that will be going away and you’d be anxious. But if you have a room to grow, you have kind of excitement that you’d be able to achieve that, too. The person right next. Let’s just go one by one. One question per one person because I want to ask -- I want to have more people. [indiscernible] free rider. So just one question? Okay.
Unidentified Analyst: So can I go about the question on industry consolidation in the U.S.? So at this moment, what do you think? Are you thinking of the continuation of the current strategy? Or do you want to create a new strategy as you look into the current industry consolidation trend, a move in the U.S.?
Masayoshi Son: Well, at this moment, I am open for everything. But then, of course, the real important part, in other words, to look for the real first synergy is really about looking into T-Mobile. So again, T-Mobile would be, in an orthodox manner, would be the first priority. And I would like to be very sincere in trying to start a negotiation. However, this is something we have to think about, our counterparts. There’s lots of conditions we have to think about. And so that is why we want to be open if there’s any other possibilities with better conditions and better opportunities for this industry consolidation. Of course, we like to keep our doors open. We’d like to have our minds open, our hearts open in thinking what can be done. And of course, that should be the same with others. It’s not just us. And so as we look ahead, again now the door is open. We can start the negotiations, so we’d like to be very proactive in starting a negotiation.
Unidentified Analyst: My name is [indiscernible] from Freelance. You mentioned about HPUE of Sprint, it’s very technical discussion here and there. Are you, do you have any plan to introduce your SoftBank in Japan? So till now, that actually, the technology used in SoftBank has been migrated to Sprint. But actually, now that I’m hearing Sprint is even more advanced than SoftBank network now in Japan. And another question.
Masayoshi Son: Just one question per person, please.
Unidentified Analyst: About net addition. SoftBank is increasing but is this the combined number with Y!mobile? But the Y!mobile increased in the, that maybe the negative impact for the ARPU itself. So can you answer those 2? That will be great.
Masayoshi Son: Yes. As I mentioned, I’m the Chief Network Officer of Sprint, and as of today, I still am. Because I do with my pride like to make Sprint as a number 1 network operator and I swear it myself. And today, we had a network call from the morning and every week around 10:00, 11:00 at night till the midnight, we have our conference call with Sprint network team. And that’s something that I myself chair the meeting and running such meetings. So many of the developments has been discussed, and I’m fully, fully involved. So that what we have accumulated in SoftBank is now all migrated to Sprint. And also, what we’ve been also developing the tools and the systems that we’ll be able to solve the issues that Sprint still has. So that’s something that’s relating each other between Japan and United States. And also, the announcement of Qualcomm is the Qualcomm, Sprint-SoftBank 3-party agreement. So that something that we will be doing together with Sprint. Next person, please. And also regarding net gain and net addition, this is combined with Y!mobile number. Then ARPU is lower in the Y!mobile, so it may drag a little bit in ARPU. But also, we are aiming for the increase in profit, so we will combat. That’s why we have introduced the bundle service with fibers to increase the revenue per bill or increase the revenue with other contents and services. So we’re kind of doing the package service. So in annual basis, we believe we’ll be able to achieve the increase in profit. First quarter, second quarter, we have several special promotions, so we have onetime negative impact to the revenue. But in annualized base, the way we would be increased for Domestic Telecom. And number-wise, it’s going to be very much steady. So at the same time, we’ve been working a lot promotion together with Yahoo! Japan Corporation for 10x points. And fortunately that we’ve been showing good increase in sales. So for that the acquisition, of course, is increasing, too.
Unidentified Analyst: [Indiscernible] My question is again on ARM. You introduced earlier that, again around server, you’re going to be collaborating with Microsoft, and it’s going to be compatible with Windows. And you weren’t really going into that before, but how much share do you think you’d be able to acquire? What is your expectation? And also, just one more because this was a short question. Sprint, I asked the same thing last year. You said that you’re going to be looking for true positive figure. How confident are you in achieving this within 2017?
Masayoshi Son: Yes. So Sprint, the net profit. At this moment, EBIT, yes, we’re at a surplus, almost 200 billion, and so we should be able to do more. But again, the interest rate to debt, the rate is very high. So the CB -- with the different rate -- higher rate that we issued in the past, we still have that. Of course, if we try to issue it nowadays, the rate would be lower. But the debt with a higher rate, we still have that. And so that’s pressing the entire finance. However, if we be able to do -- if we be able to pay for that, then, of course, the interest rate burden should be halved. And of course, the performance itself is growing, so we just have to wait. But then until when, that’s something Sprint has not announced and so I should not make comment on that. What was your first question, again? Oh, yes, it was about ARM. What was -- yes, so server and data center. Yes, so for the server, Intel has the very dominant presence. And so this is something that we are just going to get started. So it’s almost something like starting from scratch. But in the end, in a few years’ time, we should be able to enhance the share to like 20%. That’s what we internally expect. But then, when -- please wait for that answer a bit more. So sorry, please, one question per one person.
Unidentified Analyst: My name is [indiscernible] from Sankei newspaper. So you mentioned about 5G announcement and also you mentioned in the Sprint discussion, so 5G in telecom industry, in the telecommunication industry or the technology industry, how the 5G is going to impact to those industries? How are you going to position there?
Masayoshi Son: SoftBank, of course, we would like to be leading edge of the technology. And before -- actually, we shouldn’t be -- we are not really announce anything before we actually make something. But this time, this is a joint announcement with the -- or joint agreement with the Qualcomm, so that’s why that we made the announcement today. But new generation’s technology is going to shorten the latency and speed, or the connection speed is going to be fast, like, 5 gigabit, something like that. So it will be the kind of a very basic technology to be able to provide the high performance. And the various spectrum bandwidth is going to be used. But biggest issue for 5G to do it the high band, you have to be -- there already has to be come into the inside or indoor. So it’s not only outside, but also indoor, your home, your office, is kind of 80% of the home or 80% traffic is used in home and office. So how can you reach to the indoor is going to be the key. So speed and latency, no question about it. But how you’re going to be bringing that already into the indoor is a kind of a key. That’s why we decide to go for the 2.5 gigahertz not 28. And that’s going to be -- that’s the kind of a very important and big advantage for us. So people who understand technology, that I believe that you know that the how advantage -- how big advantage is this and we were able to agree with the CEO of Qualcomm, today, and that’s something that we are preparing for it.
Unidentified Analyst : Sorry, this is going to be a general question. You said the golden egg and the goose. You made the analogy. So what is the reason you gave this analogy? What advantage would you have in giving this analogy? And I attend this earnings results announcement every time. And SoftBank is, of course, always doing your best in trying to explain what you’re doing internally. But I’m not really able to understand why you were giving the story of that golden egg and the goose? Can you give your intention here?
Masayoshi Son: Again, so we have the Vision Fund. Again, ¥10 trillion size SoftBank Vision Fund. That’s something that we’re trying to create. And SoftBank 2.0, what is that? And to explain that, I thought that goose with the golden egg would be a good analogy to give you what our intentions are. And how to interpret that is really up to you. Again, to explain the intention behind the SoftBank Vision Fund is why I want to explain about the golden egg and goose.
Unidentified Company Representative : Heitaro from TV Tokyo. After the acquisition of ARM that the goodwill is now exceeding ¥4 trillion in goodwill in other companies. Goodwill is kind of the reason why they fail, the acquisitions. And I believe that you have the confidence that you’re not going to fail with this huge goodwill. And why is that?
Masayoshi Son: Not the ¥4 trillion [Indiscernible] this and that for the goodwill. But I understand your question. There are impairments of the goodwill value, but the time that we impair the value is the time that when you don’t see the growth in sales revenue. And the potential value decrease, then you need to record a special loss. That’s kind of a risk. In the market without chip, can you live without chip? That’s something that you have to ask yourself. I don’t think so, because 17.7 billion chip has been shipped and ARM based chips has been shipped. That’s spent 26 years, and that’s going to increase in 4 years, double the size in 4 years. And dominant market share, tremendous increase in shipments. If we -- must be management is kind of not doing the right thing, if we need to record a special loss and under such a circumstance, that’s why I don’t imagine and I don’t worry at all about the recording special loss or impairing the goodwill.
Unidentified Analyst: So, my name is [indiscernible] and so listening to your presentation as a communication carrier, you talk about 5G. But before that, you have a small cell. But even before that, in the announcement, you had a story about [indiscernible] and it all connects to 5G. And so you have the 5G story, you’re talking about data center and, of course, IRT 5G data center, AI. I mean, everything is connected. But one thing that is not connected is the car, the auto. Current auto, current automobile, trying to achieve a car that has no accidents is something everyone wants to have. And of course, that’s why we have ADAS and everything. And there’s a lot of technologies that create a perfectly safe car. And in 5G, for 5G is that 1 millisec latency. So again, this very small latency, if you have this very small latency that would mean no cars would be bumping into, colliding into each other. That’s probably what you’d be able to do. But even though automobile seems to be part of your story, you never said anything about it today. But do you have any ideas about cars? If you do, can you tell us a bit about cars?
Unidentified Company Representative: Yes, of course. This is something that was announced? Not yet? Not yet, I guess. Well, there is actually a message for cars. And if we can’t tell it to you today, it’s going to be very soon. And of course, we have our thoughts. And there’s going to be lots of ARM-based chips in cars. And our technology will be going into here, DynamIQ. We also have -- that also has to do ARM, and we are taking necessary steps. And so even in the auto industry, auto industry is a very, very important market for us. Yes, so I will tell you that.
Unidentified Analyst: Takashi from Asahi newspaper. Domestic Telecom, net additions is increasing, but compared to the past, it’s been slowing down. Compared to those good increase, I think you are in the cornerstone. How that is going to impact to your overall strategy? And also, another question relates to that, that the price reductions for the handset guided by the MIC, and how much actually cost has been reduced from there?
Masayoshi Son: I’ll let the regulations on the handset price, which is kind of real compared to the other market. And that was something that MIC had as a idea, and you have to obey the country or the government. So I’m not saying that this is good or bad. But as a result, handset vendors in domestic, they are actually hit it hard. They cannot sell the handset, so they got damaged. And actually, they left behind compared to the other handset vendors in overseas. That’s kind of a sad news here. As a fact, I’m not saying good or bad, that’s how you decide. That’s the fact. And now, that you cannot really compete, so competition is not there anymore in the market, so that market share is not moving already and just moving slowly. Again, I’m not talking about good or bad. It’s the MIC’s decision. We just follow the rule, comply the regulations on the auction, we have to follow that for the business performance, we just announced that earlier. So we are planning to increase the content number of fiber users by increasing here and there. It’s not something that drastically change the market share, which cannot be really happening. But we need to make a steady step one-by-one, and that’s kind of a healthy efforts that we would like to continuously make. The person, lady in B2.
Unidentified Analyst: TV Asahi, [indiscernible] so you’ve been saying that there’s going to be a big gold rush, and so there’s this big dream and you want to make sure you gain this very large share. But now, at this moment, Toshiba is trying to sell off its memory business. Flash memory is probably going to be very important. It’s going to play a pivotal role in IoT. But then, what do you look at it? I mean, with the business world -- I’m sure there are people in the business world who would expect for you to be able to take some action. But looking from SoftBank’s perspective, maybe there’s a bit of a problem with the market share, and maybe Toshiba’s memory business is not going to be your next golden egg. And it seems like the government through the industry network revitalizing corporation of Japan, they’re trying to create this team to look after the Toshiba’s business. But would you have any comment to this?
Masayoshi Son: Well, again, I’m not going to say anything to what the government would say. I’m not really in the position of saying good or bad to what the government is saying. Of course sometime ago, I oftentimes would quarrel with the government. I was very young. I didn’t know much. But I do believe I have to become a little more grown up. I have told myself. So aside from whether it’s good or not, again, the memory business is basically the commodity business. It’s not that one company would have its dominant share. People who would be able to offer it at a lower price is where the customers would go. CapEx, there’s lots of competition here. And you have to make large capital expenditure every year. And if you would be hesitant in any way in making the investment, you’d be surprised at how fast you lose your market share. And I think that’s the type of the business we’re talking about. And so there’s -- you’re making very aggressive investment and you have to be very bold in making decisions in this type of business. And what kind of management stance is going to require for that? And I do believe there are various opinions on that. One thing that can be said now, memory business is not a strategic business, it’s a commodity business. That’s my personal feeling. So again, would SoftBank take part in that league? It’s not that we’d be taking any initiative in the move, no. However, even if we’re not the lead initiative, maybe we might want to be consulted in a way. That’s our position.
Unidentified Analyst: Just another question. Separate subject. You mentioned about Asian Super Grid concept, and you mentioned that you are looking at profitability. But the cost for the generation power is reducing dramatically. Would you be able to make that happen? And would you be able to accelerate the schedule? Can you update us on the status?
Masayoshi Son: SoftBank, regarding the renewable energy, we are creating quite a size in Japan. That’s the fact. In India, we have the number 5 size of the solar plant, solar farm is now operating in March. Last month or 2 months ago, that’s already up and running and generating the power already. And as of yesterday, we have additional bid. We won and we will add one more. So in India, we will be increasing the size to become a top-level solar power operator in China, Russia, Mongolia or the Korea, South Korea. So there are potential partners and potential companies that we are very much proactively discussing each other. But this is, once again, there is a process we have to go through with the government. Cost-wise, it’s already meeting the breakeven point. Technology-wise, we are in a level where that we’d be able to make a good connection there, from my personal opinion. But this also requires the permission by the government. So once we have to wait for the time comes. Otherwise, we cannot really make our step. So that the hope, many citizens, once you connect the power, connect the heart, then that will make the -- even better place for the Asian countries and that’s how I thought. So that’s I would like to see from the other countries as well.
Daisaku Masuno: Masuno, Nomura Securities. My question is on Qualcomm. So ARM on March 21, they had DynamIQ and they can be used in 5G. And in 2010, 2020, half of the ARM-based chip is going to be DynamIQ-based. That’s the announcement. So that 2019 5G chip with Qualcomm, so at the point of 2019, 2.5 gigahertz modem can be shipped. And in that case, what will be the new radio access, enhanced LTE, and within the DynamIQ architecture, Snapdragon? In other words, that can be seen specifically in the scheme or -- I mean, I’d like to confirm on that.
Masayoshi Son: So as for the specific design, that’s exactly something that we’re going to start from today. It was a kickoff today. So it’s going to be important that we utilize the best within each parties. So it’s really going to happen from here up. So today, I cannot really comment, but you have a -- you had a good -- great guess.
Unidentified Company Representative: We are very sorry, but due to time constraints, we would like to end this session after taking question from two more people.
Unidentified Analyst: My name is [indiscernible] from Capital Partners Securities. I just -- you mentioned about the share price, earlier, and you also need to let the market understand so that the investors will be able to buy your shares. So how do you think about the disclosure? And also, you mentioned a lot of your dreams. What is the kind of posture that you’re looking at for the mid- to long-term period based on your dreams that you mentioned in your presentation?
Masayoshi Son: The future, to explain about the future posture, I just mentioned about the flying golden goose. So in principle, SoftBank 2.0, each operators is managed by each operator CEO -- local CEO. And the way I will manage the synergies amongst those corporate groups, and once some portfolio company matured, and maybe they can graduate from the corporate group of SoftBank Group. And also, there are close to 30 some companies where there can be the potential investee of SoftBank Vision Fund. And we started discussion, negotiations, discussing terms and so on, which is the biggest size in the history of SoftBank Group to a period of investment. And that will happening at the same time. In all the project, I myself personally involved. Of course, decision-making is going to be done by the committee, but I am also involved for the discussion. So I was actually using my time and brain for the operation of business. But that’s actually a local CEO, CFO, CTO to manage, respect their decisions. And I rather like to manage how to structure the group companies. And for that, the Vision Fund is created to fuel the source, because I had to wait for about 10 years to buy ARM because I didn’t have money. So there are so many missed opportunity because of lack of money in the past. But now we don’t -- I don’t need to pass on anymore. We will be able to invite those people, those companies to our group companies. So every month, I believe that we’ll be able to show you the result and that will accelerate the growth of SoftBank Group going forward. And probably as a company, or if you -- the style is different from the Mr. Buffett. We are actually the information technology industry and the focus on the area and also becoming the long holder with the major shareholder. And also, we are trying to create the structure of -- strategic synergy making group. That’s the biggest difference with the Mr. Buffett’s approach. And also, that’s the biggest difference from the stereotype conglomerate. And so in stereotype companies that try to say, use the same name of company with same logo on top of the companies and also prioritize the people who hired in as new graduates. You cannot really become number one because you are stuck to your brand and logos. So that was a kind of a management with so much restriction. There were good side of that as well, but my approach is to create the group with number one. And even you want to create the number one group, but you may have to pass on to it because you didn’t have money. But now that with those money restrictions go away, we will be able to invite those most promising company, number one company to our synergy groups. That’s, I think, has not been really seen in the industry. So as a fund, it’s the biggest, one of the biggest in the world. But structure of the corporate group is rare. It’s not really the same as the venture capital, so it’s really rare and generate then create the synergy each other. And also, as long as keep making a growth, even after the IPO, that there will be also maintain them as a corporate group, like Alibaba who you can see. So that’s the biggest difference with Mr. Buffett’s approach. So that organizational structure model has been, I believe, invented by SoftBank Group. That’s my opinion.
Unidentified Company Representative: So it’s already time. But one more question.
Unidentified Analyst: So my question is on Domestic Telecom business. What is going to be your capital expenditure? What about the size or what image do you have? Compared to FY 2016, I think you said you’re going to increase the investment. How much is that going to be? Can you share with us a little bit more here amount of investment?
Masayoshi Son: Well, again, basically, anything above ¥10 billion investment would be via the Vision Fund. In other words, as SoftBank, as we look ahead, we are no longer -- we’re no longer going to take more debt just to make large investment because basically, as a general rule, just as a general rule, any investment over ¥10 billion would be via the fund. And for instance, anything like Sprint that we want to make sure that would be fully inside the group that would be special case. But then as we try to make sure we’d be able to have more growth and if we want to add more people in the group, then basically large investments would be via the Vision Fund. And that’s exactly part of what we agreed with the partners of the SoftBank Vision Fund. As for the performance, when we say performance, I think there are two things. One is the telecom business EBIT. So that’s one point that we’d be looking at. But then the other is, again, the held assets, the sum of the parts asset. Did it increase through utilizing Vision Fund? And how much return or profit were we able to obtain through Vision Fund and through our partners? And of course, we will be putting in very large amount, ¥3 trillion or so, into this fund. But of course, our partners will also be putting their money into this fund. So this investment as SoftBank 2.0 is something that we would be looking into, and that will be reflected at times to our net profit whenever we would be monetizing any asset. So I think that’s the two perspectives we want you to look. And the market cap of the assets, the sum of the parts, I’m sure it’s going to be increasing. I mentioned earlier how more gold eggs we’re going to have. Whether or not we would be monetizing, of course, net income would be impacted by that. But then what’s more important is the shareholders’ equity. So I think one way you’d be able to look at our growth is how much golden eggs we have. And so that is exactly why I wanted to give the analogy of the golden egg and the goose. Did I answer your question? So again, please look at us with the two perspectives. So again, it’s time. I’m sure there are more people who want to ask questions, but I hope we’d be able to take time in winning your understanding. Thank you.